Operator: Good morning and welcome to the Brown & Brown, Inc. First Quarter of 2017 Quarter Earnings Conference Call. Today’s call is being recorded. Please note that certain information discussed during this call including information contained in the slide presentation, posted in connection with this call and including answers given in response to your questions may relate to future results and events or otherwise be forward-looking in nature. Such statements reflect our current views with respect to future events, including those relating to the company’s anticipated financial results for the first quarter of 2017 and are intended to fall within the Safe Harbor provisions of the securities laws. Actual results or events in the future are subject to a number of risks and uncertainties and may differ materially from those currently anticipated or desired or referenced in any forward-looking statements made as a result of a number of factors. Such factors include the company’s determination as it finalizes its financial results for the first quarter of 2017 that its financial results differ from the current preliminary un-audited numbers set forth in the press release issued yesterday and the factors that the company may not have currently identified or quantified and those risks and uncertainties identified from time to time in the company’s reports filed with the Securities and Exchange Commission. Additional discussion of these and other factors affecting the company’s business and prospects as well as additional information regarding forward-looking statements is contained in the slide presentation posted in connection with this call and in the company’s filings with the Securities and Exchange Commission. We disclaim any intention or obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. With that said, I will now turn the call over to Powell Brown, President and Chief Executive Officer. You may begin.
Powell Brown: Thank you, Shannon and good morning everyone. Thank you for joining us for our first quarter 2017 earnings call. I am on Slide 4. For the first quarter, we delivered $465.1 million of revenue, growing 9.6% in total and 3.5% organically. Our total revenue growth includes a $20 million legal settlement that we have with the shared partners for the first quarter of this year. Our EBITDAC margin increased 10 basis points from Q1 of ‘16 on an as reported basis. Our adjusted EBITDAC margin decreased 270 basis points from the prior year, when excluding the net amount of $18.8 million associated with a legal settlement. Andy will go into more of this later. As our reported earnings per share for the quarter increased to $0.49 for the first quarter, our as reported earnings increased to $0.49 for 2017 from $0.44 in the first quarter of ‘16. When excluding the change in estimated acquisition earn-out payables from both years along with the net legal settlement and adjusting for the prior year for the impact of adopting the new GAAP guidelines or guidance for stock-based compensation, our earnings per share decreased 4.4% to $0.43 on an adjusted basis. Overall, we feel Q1 was a good quarter as our organic revenues growth improved nicely and we continued to invest in our business, which will help drive further organic growth and margin expansion in the future. I want to take a moment to thank all of our teammates as a result – as these results would not be possible without all of their hard efforts. I am now on Slide 5. The first quarter was an interesting one, as we entered it with a lot of optimism about what the new administration might do to further improve the economy. As the quarter continued, some of this optimism has slowed and now companies are more cautious or skeptical about what shape some of the programs, including tax reform, infrastructure projects and ACA reform will take and when they might actually take effect, if at all. With that said, we did see the economy continue to expand across most communities in the past quarter. There are number of geographies that are doing well as evidenced by construction starts, while communities that are tied to oil and gas have leveled out. As we mentioned before, increases in exposure units are the primary driver of growth in our customer base. Similar to previous quarters, the amount of capital and appetite to deploy this capital has not slowed. All risk bearers are looking for creative ways to retain their renewals. Over the past few years, we have generally been experiencing consecutive decreases in premium rates across most lines. We would say that in the first quarter, coastal property rates are not down as much as they were last year. The rates were decreasing between 5% and 25%, but slowed in the first quarter of this year and are decreasing between 2% and 10%. We have also talked about in previous quarters about rate increases for commercial auto, which is being driven primarily by frequency of claims and distracted drivers. Well, that trend continued in the first quarter with rates generally flat to up 5%, with most accounts closer to plus 5%. In all other lines of coverage, rates are generally flat to down 5% with the exception as I mentioned earlier of commercial auto and coastal property. One of the biggest – or one of the bigger topics during the quarter was what the impacts would be if there was any reform of the Affordable Care Act. This was in addition to the continual topic of cost containment for healthcare plans. With the material increases to premium rates for most state exchanges or decreases in the number of providers or both, we did see customers continue to manage plan design. Creativity around plan options is at the forefront. We continue to believe that this uncertainty and need for creativity is a positive for Brown & Brown as it positions us well as a trusted advisor to bring alternative options to customers that best address the needs of their company and their employee base. I am going to switch gears now and talk about the performance of our four divisions. From a retail perspective, we had a really nice quarter and grew 4% organically as compared to 70 basis points for the first quarter of last year. We realized continued improvement in our momentum that we created in 2016. We did have about 100 basis points of benefit this quarter from timing related items, underlying our organic growth was closer to 3%, which we view as a really good improvement. The performance of the first quarter was driven by one, solid new business; two, higher retention as we had fewer insureds that were acquired as we did in the first quarter of last year. We are seeing increased exposure units as I referred to earlier and in some cases flattening of premium rate decreases. We realized solid improvement across almost all lines of business with our employee benefits and large account businesses performing the best this quarter. Last quarter, we talked about the approval by the Florida Department of Insurance to increase workers’ compensation rates by 14.5%, effective December 1 of 2016 for all new policies and upon renewal for all existing policies. The rate increases are taking effect for some customers, but we also have customers trying to manage their payrolls in order to best manage the cost increases. We believe that if the rate increases remain in effect, the impact on our entire retail division will not be material as the annualized benefit would only be in the range of $1.5 million to $2 million in Florida and you combine that with a number of other states that have decreased their workers’ compensation rates for 2017. Therefore, we do not expect any material benefit or detriment to retail in 2017. Shannon, I was going to ask I hear a clicking in the background, I don’t know if there is something on your end. I just want to bring that to your attention. Since we know everyone is going to ask us, we wanted to share with you how our new 5 for 5 incentive program is working. As a reminder, this program will pay a producer a incremental 5% if a book of business grows organically 5% for the full year in 2017. The initial reaction from our producers has been really good and they are all very focused on retaining business and bringing in new accounts. It’s still very early in the year to determine how the program will ultimately drive performance. However, we do believe that a small portion of our increased performance for the quarter was driven by the new program. The performance of our national program division was right in line with our expectations for the first quarter. We anticipated that the carrier changes for a couple of our programs will impact our revenue retention during the transition period. As we mentioned previously, this is common during carrier changes. Then once the new carrier is in place, the revenue will stabilize and we will have the opportunity to grow. We highlighted last quarter that these changes will result in a decrease of revenues from national programs in 2017 of approximately $5 million to $7 million for the full year versus 2016. Also during the quarter, we felt the year-on-year impact of premium rate decreases on our coastal property programs. The decline from the carrier changes and the coastal property programs offset the solid performance from a number of our other programs. During the quarter, our lender placed program, our commercial and residential DIC program and our flood program did well, just to name a few. Our wholesale business had a really good quarter, growing 7.4%. This is a great performance. During the quarter, we have realized growth across almost all lines of coverage in most businesses. Our binding authority business and our personal lines business has performed really well again this quarter and our brokerage businesses improved nicely as we wrote more new business and rate decreases were less than in the prior year. The services division experienced good organic growth for the quarter at 4.9%. This was driven primarily by claim activity related to the spring storms in Texas and also to our Social Security advocacy business performed well during the quarter. In summary, we are very pleased with the performance of our four divisions for the first quarter of ‘17. Now, let me turn it over to Andy, who will discuss our financial performance in more detail.
Andy Watts: Great. Thanks Powell. Good morning, everyone. I am over on Slide #6. This shows our GAAP reported results for the quarter. In the first quarter, we delivered total revenue growth of 9.6% and organic growth of 3.5%. Our income before income taxes grew by 8.2% and our diluted earnings per share increased by 11.4% to $0.49 versus $0.44 in the first quarter of last year. Our weighted average number of shares increased by 1.5%, mainly due to shares issued as part of our long-term equity plan and our employee stock purchase program. Our goal each year is to minimize the impact of these share programs via periodic stock repurchases throughout the year. And lastly, our dividends increased just over 10% for the quarter. Due to the impact of the legal settlement we received, we are going to spend most of our time discussing our financial performance on an adjusted basis. On Slide #7, this presents our adjusted numbers after removing the impact of the cash proceeds and the associated legal costs related to the legal settlement, the change in the acquisition earn-out liabilities and the new ASU related to accounting for stock-based compensation. During the quarter, we received $20 million and incurred about $1.2 million of legal costs for a net benefit of $18.8 million related to the aforementioned legal settlement. Excluding these items, our revenues increased by 4.9%, our income before income taxes decreased by 5.5% and our EBITDAC declined by 3.6%, with net income declining 3.3%. In a few slides, we are going to talk to the primary drivers of the changes in our margins, which are primarily one-time in nature or recorded last year. Moving over to Slide #8, we are going to go through the key components of our revenue performance for the quarter. Starting with total revenues, our other income increased by $18.9 million, driven by the legal settlement we mentioned previously. Our contingent commissions in GSCs are down about $1.4 million, as compared to the first quarter of the prior year. This is really driven primarily by increased loss ratios from some carriers and we had a couple carriers changed from guaranteed supplemental commission plans to contingent commission plans within our retail division. Our core commissions and fees increased by 6.2% year-over-year. Isolating the net impact of our M&A activity, our organic revenue growth was 3.5% for the quarter. We want to caution everyone not to assume that our future quarters this year will be at the same level, as we have the year-on-year impact of storm claim revenues we have recognized in the second half of 2016 and we have the carrier changes within national programs. Both of these are going to put downward pressure on our top line year-over-year. Due to all the moving parts in the first quarter, we thought it will be helpful to include a walk of our EBITDAC margins from last year to this year and we are on Slide #9 now. We do not anticipate providing this level of detail on the future quarters, unless it’s beneficial to the understanding of our numbers. On an as reported basis, our margins increased by 10 basis points. But as you will see, there are a number of components. The largest impact was from the net legal settlement that improved margins by 270 basis points. Then we had the premium tax refunds and SIP credits we recorded in the first quarter of last year, that each contributed 70 basis points of margin. Then we had a $2 million gain on the sale of the book of business in 2016 that increased the prior year margins by 50 basis points. We view these first four items as one-time in nature or they only impacted the prior year. For the quarter, the impact of our investment technology was about 40 basis points. As it relates to the investment in technology, the programs are progressing along as we had expected. Next, is the impact from the new 5 for 5 incentive plan within retail. As Powell mentioned, this program is still in early days, but it’s performing financially how we thought it would based upon the results in the first quarter. As a reminder, we anticipate this program will impact our margins for 2017 and 2018 and then we will recover the decline in margins in 2019. Within other is the net effect of the lower contingents and guaranteed supplemental commissions and the impact of leveraging our revenues. We want to continue to reiterate that we believe our business can operate at 33% to 35% EBITDAC margins, but we might be outside of this range at certain times based upon investments in our business or our top line growth. We will move over to Slide #10. We will take a look at the performance of each of our divisions a little more closely and we are going to start with the retail. For the first quarter, our retail division delivered 4% organic revenue growth, which was driven by improved performance across all lines of the business. We had lower reduction in lost business, as we have fewer customers that were acquired through M&A. Then also, we had about 100 basis points of benefits from the timing of revenues. The timing came from transactions that were not recognized in the fourth quarter of last year or some incentives that were realized in the first quarter of this year. Our income before income taxes was down $1.6 million due to higher acquisition earn-out adjustments of $4.8 million year-over-year, partially offset by lower inter-company interest charges and again, a $2 million on the sale of book business last year. Retail’s year-over-year reported EBITDAC margin decreased by 60 basis points, primarily due to the lower contingent and GSC commissions, a gain on the sale of the book of business and to a lesser extent, the expense associated with the 5 for 5 incentive program. We are going to move over to Slide 11. Our national programs division delivered revenues consistent with the prior year, which is in line with our expectations for the reasons that Powell mentioned earlier. As a reminder, we expect there would be downward pressure in the second half of this year on organic revenue growth as we had storm claim revenues in the second half of 2016 and we have the carrier changes we mentioned earlier. For the quarter, income before income taxes, as a percentage of revenue decreased from 13.6% to 12.4%, due primarily to our flood insurance program receiving one-time premium tax refunds of approximately $3 million during the first quarter of 2016 and this was partially offset by lower inter-company interest expenses charges. Our EBITDAC margin decreased by 400 basis points due to the aforementioned one-time premium tax refund and a loss of revenue associated with the programs that are changing carriers and the decline in our coastal property programs. On to Slide #12, this is our wholesale division. For the quarter, wholesale delivered – division delivered total revenue growth of 22.1%, driven by acquisitions and organic revenue growth of 7.4%. Income before income taxes decreased by 380 basis points to 23.5%, this was driven by the impact of lower margins associated with certain acquisitions, our business mix, which is really the result of higher transaction volumes at lower premium prices and the increase in inter-company interest expense. Our EBITDAC margins are 31.3% for the quarter versus 33.3% in the prior year. This decline was driven by the same factors we just mentioned, but excludes the impact of inter-company interest charges. Over to Slide #13, our services division had another good quarter and delivered total revenue growth of 7.4% and organic growth of 4.9%. For the quarter, our EBITDAC margin increased by 60 basis points, primarily due to higher claim volumes, managing our costs and the acquisition of a higher margin business in the first quarter of 2016. The incremental increase in income before income taxes as a percentage of revenue was driven by lower inter-company interest expense. A few additional comments for the quarter, during the first quarter, we adopted ASU 2016-09, which relates to the accounting for stock based compensation awards. This ASU requires that upon investing the stock based compensation, any tax implications be treated as a discrete credit to income tax expense in the quarter of vesting. The prior treatment required that the tax implication be treated as a reduction and additional paid in capital. During the first quarter, we have recognized about $3 million of tax credit, which decreased our effective tax rate to just below 37% versus about 39.5% in the prior year. Based on our vesting schedules, the majority of the tax benefits will be in the first quarter of each year. We continue to estimate that our full year effective tax rate will be in the range of 39% to 39.3%. Regarding technology, we want to note that the incremental margin impact will be in the range of 40 basis points to 50 basis points as compared to 2016. We expect that the costs within the retail segment to continue to increase as the year progresses. With that, let me turn it back to Powell for closing comments.
Powell Brown: Thank you, Andy, great report. As we move in to Q2, we watch the potential for ACA reform and tax reform with great interest, as I know you do. Rates overall are flat to down slightly. One quarter does not make a trend. Cat property rates saw declines of 10% or less. A word of caution there are lots of large property schedules that renew in Q2, so we will see how rates hold or decrease in Q2. The M&A environment continues to be very competitive. We continue to search for firms that fit culturally and make sense financially. In the current environment, we have seen a number of deals that do not make sense to us financially. In closing, we entered Q2 with cautious optimism about the year, what the year might look like. We have lots of great activity going on throughout our company and are making progress on many of our initiatives to drive the business forward. With that, let me turn it back over to Shannon for the Q&A session.
Operator: Thank you. [Operator Instructions] And our first question will come from Elyse Greenspan with Wells Fargo.
Elyse Greenspan: Hi, good morning. First off, I was just hoping to just get, tie together some comments you guide made Powell, you mentioned cautious optimistic, I guess commentary about the economy and then you guys did point to the improvement in retail, so backing out the one-time as you said around 3%, I mean how do you envision the back three quarters of ‘17, I mean I know Q1 ‘16 was the easiest comp for that business last year, so how do you envision the growth trajectory, given the economy that we are sitting in today, kind of the organic, should it pick up from the 3% in the remaining three quarters of the year or how do you kind of see that playing out?
Powell Brown: Okay. Elyse, I appreciate the question. And as you know, we don’t give organic growth guidance. So we are going to say that somewhere between zero and mid single-digits. And so having said that, we watched the economy as closely as you and everybody else does. But as I said, one quarter doesn’t make a trend.
Elyse Greenspan: Okay. And then in terms of the margins for the quarter, if you back out the one-timers from last year in the tax spend and the retail program, the margins were about flat on an overall basis, how do you envision margins playing out through the remaining three quarters, I know there is some headwind given the lack of flood business in the back half of the year, but how do you envision the margin trajectory I guess ex-TAC in the retail cost for the balance of the year?
Andy Watts: Elyse, if I could clarify, you are talking at the total company level, correct?
Elyse Greenspan: Yes.
Andy Watts: Yes. What we would say on those is that we would expect that the tech in the 5 for 5 program will continue to put some pressure on margins in the back end of the year. And then also just as a reminder, we did have some of the tax premium refunds in the second quarter of last year that will also put some pressure on those. And with the carrier changes in national programs, again that will put some pressure on the margin in the back end of the year.
Elyse Greenspan: Okay. And then on tech side, you mentioned 40 basis points to 50 basis points, it had been 35 basis points to 40 basis points, so you are increasing I guess the spend that you are expecting for ‘17, from your comments today?
Andy Watts: Yes, a little bit on there. Elyse, I think as we get better visibility to the programs, as they gain momentum, we are going to kind of tighten up our range a little bit. So not any major movements, but that’s kind of the ballpark we see right now.
Elyse Greenspan: Okay. And then you didn’t say – I am assuming you guys didn’t repurchase any stock in the quarter. As you do have some cash on the legal settlement, and given I guess where you see acquisitions prices today, has anything changed on your view in terms of capital management and allocation in terms of share repurchase?
Powell Brown: Nothing has changed, Elyse. We continue to evaluate it and we talked to our Board about it when we are together, but there is no change in the way we look at capital allocation.
Elyse Greenspan: Okay. Thank you very much.
Powell Brown: Thank you.
Operator: [Operator Instructions] Your next question will come from Kai Pan of Morgan Stanley.
Kai Pan: Thank you and good morning. Just a follow-up one on the sort 5 for 5 program and it looks like you pay additional like close to $2 million of additional compensation accrual for the quarter, which kind of imply 5% additional like $35 million of commissions, I just want to make sure if my math is right and how do you accrue for these incentive programs?
Andy Watts: Yes. Let’s see if I can clarify a little bit on, Chi. So the way the program works is that anybody that is able to grow the book over 5% for the full year 2017, we get that. As we mentioned, when we rolled this plan out at the beginning of the year and we talked about on the year end call, is there is going to be some of our producers that are already over 5%. So you do have – it’s not that you have got your full year because I think what you are trying to do is presume that if you take your 2% kind of divide it all the way, you got an incremental 35 but we don’t actually work that way.
Kai Pan: Okay. And will that be accrued throughout the year, every the quarter, you will have additional accrual, depending on the performance?
Andy Watts: Yes, depending upon performance, correct, yes.
Kai Pan: Okay. So and then on the margins side, is that the 40 basis points from tech and the 40 basis points from the incentive program, assuming that will continue, would that be sort of like the basic run rate basis?
Powell Brown: Well, on tech, we said it’s going to be 40 basis points to 50 basis points. And we can’t say yet on the 5 for 5 accrual because we have to watch it every quarter.
Andy Watts: Yes. And listen if we can’t, let’s clarify on the technology spend. Is it can be up and down during the year and let’s explain what we mean by that. It’s because we started into the programs during last year and the spend picking up in the back end of the year. We are going to have, at times a higher impact in the first half of this year. Then, as we start to lap the expenses, the impact will be less. So you probably don’t want to take into a straight line across the border, you will probably expect that the second quarter will be a little bit higher.
Kai Pan: Okay, that’s great. And lastly, on your cash balance, you now reached close to $550 million, the highest probably in the company history, so just wonder how much cash you need to keep on the balance sheet to run your day-to-day operations and what’s your – like how [indiscernible] to the excess capital or cash you would keep on balance sheet for an extended period of time and how do you plan to deploy it?
Powell Brown: Yes, Kai, we haven’t disclosed what we think the required working capital is in the company. We have got sufficient amount of cash as well as access to whatever capital that we need. And then I would like to address the second point which I think is the most important. Kai, I believe that I said this last time, but if I didn’t I will clarify it for everybody. We have been very clear that we are deploying our capital on three ways: one, through hiring new teammates and growing our business organically; two, by acquisitions; and three, to return it to shareholders through either dividends or share repurchases or some combination thereof. We are going to pay out about $70 million in dividends this year to our shareholders. So having said that, I have been asked that what happens if in fact acquisitions were very, very expensive going forward for a protracted period of time and if we evaluated our stock price and we thought the stock price was fully valued at the time. And the answer to the question is that we are going to stockpile cash on our balance sheet. And so if anybody wants to criticize somebody at Brown & Brown, you can criticize me. But we are not going – we do not have a whole burning in our pocket and I know you know that and we look very, very closely at our acquisitions and how we deploy that capital and we will continue to do so. It’s interesting, because as I alluded to in my prepared remarks, some of the acquisitions that we see out there, we know that the numbers don’t make sense, but we are a forever company and those companies are going to be flipped in 3 to 5 to 7 years and they don’t build cultures in that period of time. We have only been doing this for 77 years and we think we really have a strong culture and we will continue to maintain that. So, I anticipate that we will have opportunities to deploy our capital fine over the intermediate to longer term, but it’s very possible we could continue to stockpile cash on the balance sheet. As you know, last year, I believe that we added $72 million to the cash on hand year-over-year. The prior year, we paid out about all of the cash that we earned. So that’s it.
Kai Pan: Okay, that’s very clear. Thank you so much.
Powell Brown: Thank you.
Operator: And our next question will come from Mark Hughes of SunTrust.
Mark Hughes: Yes, thank you. Good morning. The Social Security advocacy business you have had good success there. Any color you can provide on whether that’s new clients, more claims coming from existing clients or you are just having more success getting those benefits for your clients?
Powell Brown: Well, remember, there is two clarifications. We work on behalf of insurance company partners to get these settled. And sometimes, well, I shouldn’t say sometimes, it is very highly dependent on the way those claims are processed with the federal government. So when I say that, Mark, sometimes that, things seemed to be going in a good pace and a flow and we get a lot processed and then there are sometimes, i.e., when there is a question about funding for the federal government, when things slow down and we have talked about that in the past. So I would basically say that we continued to enjoy and work really hard on behalf working for our carrier partners on this in this regard. And I think that success breathes success when you do a good job, then you have the opportunity to earn more business from those partners. But there is not one thing that’s just sticking out that saying this is happening which is dramatically changing our results there.
Mark Hughes: Right. So at least from your perspective, the process is working smoothly, you might say in Washington on this topic?
Powell Brown: Well, I don’t know if I’d say that, I think that you might have been a little bit overly zealous in your response there. I would say that today things are still being processed. And if you could give us more clarity on what’s happening at Washington, we would all like to know. But I am cautious about saying something that broadly.
Mark Hughes: Right. On the – Andy, you have talked about the – you have got some tough comps on the storm claim business. Is there kind of an elevated revenue or revenue number above trend that you have in mind when you think about the kind of the potential pressure in the second half?
Andy Watts: Yes, Mark. So we had called out – we said we had about $9 million of incremental storm claim revenue last year over 2015, which almost all primarily fell in the second half of the year. So during our calls last year we had called out about $4 million in the third quarter and about $3 million in the fourth quarter. And then there is a little bit kind of first and second quarter but that big chunks are back into the year.
Mark Hughes: Thank you very much.
Andy Watts: Thank you.
Powell Brown: Thanks a lot.
Operator: And our next question will come from Josh Shanker of Deutsche Bank.
Josh Shanker: You guys reiterated that 33% to 35% EBITDAC margins are expected normal and obviously you are below that right now. Well, when you are talking about the wholesale business, you had big growth but huge decline in operating leverage due to a change in business mix. Isn’t that change in business mix kind of [indiscernible] sort of thing that certainly affects the long-term margins of the business? How do we get back to 33% to 35%?
Powell Brown: Okay. Well, let me talk broadly about the business and then I will talk specifics in terms of divisions. Number one, obviously, as you know that we had a decrease in profit sharing for the quarter. So that in and of itself has a significant impact, number one. Number two, in the specifically in the wholesale segment, the wholesale segment of our business, we have – we did an acquisition last year that has lower than historic margins, which we have to move up over time, which we are doing. We also seem to have more flow of activity, but the compression in rates is making that more costly to service and that is probably the way to say it. And so that’s – and our profit-sharing overall has been down in a wholesale to the prior year. If you look inside of programs, we have articulated that we have several programs that are actually changing carriers, which is going to have a revenue impact of what you stated $5 million to $7 million. We also have said that in our coastal property programs, rates have been going down and continuing to go down, so that has compressed our margins in those particular programs as well. In retail, as we said, we had a very good quarter, but we continue to invest in the business, i.e., hiring people. And we had a good quarter also in services. So when you put all that together, I would say that’s the clearest I think we can make it in terms of the pressure points on the business kind of across the way. Andy, you got anything else to add on that?
Andy Watts: Josh, when we give the ranges, we are not saying that we are going to be there in 2017. That’s kind of what we call our what should be the interim range and we can be above, just as we have talked about our organic we should be in the low to mid single-digits and kind of a normal stable economy. Well, that’s different things going with rates etcetera. That’s where we do believe we can operate the business. We have been able to do that over the last 10 and 20 years as we have grown the business substantially. You might see outside of that every now and then, but we think we have got the right operating framework.
Josh Shanker: Should we be there in 2019?
Powell Brown: There is too much speculation. I mean, we don’t know what the economy is going to be doing, what rates are going to be doing or any of that. What we are trying to do is we are trying to grow the business organically and add with good acquisitions where we can find them and obviously grow the profit-sharing and the profit-sharing has been under pressure because of losses and rate decreases.
Josh Shanker: That makes sense. And one other question about the 5 for 5, in your experience, is there any difference in the stickiness of business acquired via standard procedure versus acquired during an incentive plan?
Powell Brown: Not that we are aware of.
Josh Shanker: Okay, thank you very much. Good luck.
Powell Brown: Thank you, Josh.
Operator: [Operator Instructions] Your next question will come from Adam Klauber of William Blair.
Adam Klauber: Good morning. Thanks. Wholesale business was very strong, I guess what was the level of submissions, and do you think you are taking market share in that business?
Powell Brown: Well, I am not trying to be funny, Adam, but we had a lot of submissions, but I am not going to say that we – I think the important thing that you know is, one, we have a lot of activity in wholesale. So as Tony Strianese says you got to put the lot of hamburgers particularly in binding authority and personal lines, number one. Number two, we referenced that the CAT property, the large transactional wholesale rates were not down as much as we anticipated. I also caution you to say that one quarter doesn’t make a trend. We were very pleased with the performance in Q1 of wholesale and I would say that I am only speaking on behalf of myself, but I was pleasantly surprised, because I anticipated further rate pressure in CAT property.
Adam Klauber: Okay, that’s helpful. And then as far as rate, is that business expanding? I know it’s growing, but you are expanding the distribution or you just be able to grow that business?
Powell Brown: Well, I think that it’s a combination of both. Remember, we are servicing retail agents across the country, so we can service existing agents and we can make – we can work with new agents or writing new policies on behalf of existing or new agents. So we think that there are growth opportunities in a bunch of different ways there and we are very pleased with how right slide is doing.
Adam Klauber: Okay. And the benefit, I know you don’t break that out or give exact, but is that grown in the range of the overall retail, better, worse or just some idea how that business is growing, some ballpark idea would be helpful?
Powell Brown: It’s growing nicely. I don’t mean to be flippant, but we don’t give the exact number, but I am very pleased with where we are for employee benefits.
Adam Klauber: Yes. Just ballpark is helpful. Okay, thank you very much.
Powell Brown: Thank you.
Operator: And it does appear we have no further questions at this time.
Powell Brown: Okay. Well, thank you all very much and have a wonderful day. We look forward to talking to you at the end of Q2. Thank you. Bye-bye.
Operator: That does conclude today’s teleconference. Thank you all for your participation.